Operator: Good morning. My name is Angel and I will be your conference operator today. At this time I would like to welcome everyone to the Third Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] John Trythall, Vice President, Financial Planning and Analysis, you may begin your conference.
John Trythall: Thanks, Angel. Good morning and thank you for joining us for our third quarter 2015 earnings call. Our press release was filed this morning with the Securities and Exchange Commission and a presentation for our call is posted on our website lear.com through the investor relations link. Today's presenters are Matt Simoncini, President and CEO; and Jeff Vanneste, Chief Financial Officer. Also participating on the call are several other members of Lear's leadership team. Before we begin, I'd like to remind you that during the call, we will be making forward-looking statements that are subject to risks and uncertainties. Some of the factors that could impact our future results are described in the slide titled Investor Information at the beginning of the presentation and also in our SEC filings. We will also be referring to certain non-GAAP financial measures. Additional information regarding these measures can be found in the slides labeled Non-GAAP Financial Information at the end of the presentation. Slide 3 shows the agenda for today's review. Following the formal presentation, we will be pleased to take your questions. Now please turn to Slide 5 and I'll turn it over to Jeff.
Jeff Vanneste: Thanks, John. Lear continued its positive momentum in the third quarter with sales growing faster than the industry and record core operating earnings. Sales in the third quarter were $4.3 billion, up 2% from a year ago. Excluding the impact of foreign exchange, sales grew by 11%, including organic growth of 6%. Core operating earnings increased 27% to $320 million and margins were higher in both our business segments. Adjusted earnings per share increased by 33% to $2.56 per share. During the quarter we acquired intellectual property and technology from Autonet Mobile, a leading developer of communications software and devices for automotive applications. This acquired technology directly connects onboard vehicle systems with cloud based applications via cellular networks. We also continue to return cash to shareholders. I'll provide more detail on that later in the presentation. In light of our year-to-date performance we are increasing our 2015 earnings and free cash flow outlook. Slide 6 shows third quarter vehicle production in our key markets. In the quarter 20.3 million vehicles were produced globally consistent with a year ago. Production was up in North America and Europe, but down in China and Brazil and the euro averaged $1.11 in the quarter. Slide 7 shows our reported financial results for the third quarter. Reported sales in the quarter increased by 2% from a year ago to $4.3 billion. Sales were negatively impacted by $374 million in foreign exchange, primarily related to a weaker euro and Brazilian real. Excluding the impact of foreign exchange sales were up 11%. Pretax income before equity income, interest, and other expense was $303 million, up $78 million from a year ago. Interest expense was $21 million, up $6 million, reflecting debt incurred to finance the acquisition of Eagle Ottawa. Other expense was $22 million, up $11 million, reflecting the impact of foreign currency transactions. 2014 also benefited by a $5 million gain related to a transaction with an affiliate. Depreciation and amortization increased by $8 million, primarily reflecting the acquisition of Eagle Ottawa and net income attributable to Lear was $181 million, up $41 million. Slide 8 shows the impact of non-operating items on our third quarter. During the quarter, we incurred $17 million of restructuring costs related to various census actions. Excluding the impact of these items, we had core operating earnings of $320 million, up $69 million from 2014. The increase in earnings primarily reflects favorable operating performance, the Eagle Ottawa acquisition and the benefit of new business partially offset by the unfavorable impact of foreign exchange. Adjusted for restructuring and special items, net income attributable to Lear was $198 million and diluted earnings per share were $2.56, up 33% from 2014. Slide 9 shows our adjusted margins in the third quarter. Total company adjusted margin was 7.4%, up 150 basis points from a year ago and a record for the third quarter. In Seating, sales of $3.4 billion increased 5% from last year, with adjusted earnings of $243 million, up $67 million or 38%. Excluding the impact of foreign exchange, sales increased by 14%, reflecting the acquisition of Eagle Ottawa and the addition of new business. Adjusted Seating margins were 7.2%, up 170 basis points from a year ago. The increase in margins primarily reflects the strong sales growth, including the impact of the Eagle Ottawa acquisition and favorable operating performance. In Electrical, sales of $973 million were down 7% from last year. Excluding the impact of foreign exchange, sales were up 4%, primarily reflecting the addition of new business. Adjusted Electrical margins improved to 14%, up 70 basis points from a year ago, reflecting strong operating performance and the benefit of new business. Slide 10 provides a summary of free cash flow, which was $163 million in the third quarter bringing our year-to-date free cash flow to $404 million. Slide 11 provides an update on our share repurchase program. During the third quarter we repurchased 1.4 million shares for a total of $148 million. Year-to-date we have repurchased 3.5 million shares for a total of $383 million. Since initiating this share repurchase program in 2011 we have repurchased 34.4 million shares for a total of $2.3 billion and including dividends, total cash returned to shareholders over the same period is $2.6 billion. Our share repurchases represent a reduction of approximately 33% of our shares outstanding at the time we began the program. The average price paid to repurchase shares over the life of the program is about $67 per share. At the end of the third quarter, we have a remaining share repurchase authorization of 617 million, which expires on December 31 of 2017. This represents approximately 7% of our current market capitalization. Slide 13 highlights the key assumptions in our 2015 outlook, which is based on the latest IHS production forecast and communications from our customers related to our specific platforms. Global production is now forecasted at approximately 86.1 million units down 1.1 million units from the prior forecast, but up 1% from a year ago with growth forecasted in all of Lear's major markets. Our 2015 financial outlook is based on an average euro assumption of $1.11 per euro. Slide 14 highlights our 2015 financial outlook. Based on our strong performance in the first nine months of the year, we are increasing our full year earnings and free cash flow guidance. Sales are expected to be approximately $18.2 billion consistent with the midpoint of our prior guidance. Core operating earnings are now expected to be in the range of $1.27 billion to $1.3 billion, with the midpoint up 35 million from our prior outlook. The effective tax rate is projected to be approximately 28% down from our previous guidance of approximately 30%. Free cash flow for 2015 is forecasted to be $650 million, an increase of $25 million from the prior outlook, and capital expenditures are expected to remain at approximately $500 million for the year. Now I'll turn it over to Matt for some closing comments.
Matt Simoncini: Great, thanks, Jeff and good morning. Slide 16 highlights major trends that will continue to impact the auto industry. Global platforms, direct component sourcing from the OEMs continue to increase. We are well positioned to benefit from this with our low cost global footprint and full component capabilities in both product segments. Seating is an active part of the vehicle safety systems. Lear has been a industry leader in developing safety features with innovations such as the Active Head Restraint and seat structures that withstand collision impact well in excess of what is demanded by regulatory agencies. Consumers are demanding more features driving increased complexity and greater contact for electrical distribution and signal management systems. Stricter fuel economy and lower emission requirements are also driving electrical contact role. Traditional powertrains are requiring more signal management to achieve better fuel economy and we expect higher contented alternative energy vehicles to continue to penetrate the market. China has become and we expect it to remain the world's largest automotive market. Lear has a major presence in China with complete engineering capabilities and 44 manufacturing facilities. We have joint ventures with all the leading Chinese automakers to support continued growth with both domestic and foreign brands. Fuel connectivity is an emerging megatrend. Autonomous driving, adapter safety, over the air software updates and the management of data are in the early stages of development and have the potential to be the most significant advancement and growth opportunity in recent automotive history. We are well positioned to capitalize on this opportunity with our ability to distribute power and manage signal utilizing our wireless technology and our leading position in smart junction boxes and Gateway modules. As shown on Slide 17 we believe that Lear is well positioned for profitable growth in both business segments. In Seating and Electrical sales are growing faster than the industry. We are the low-cost producer and we have complete component capabilities in all major regions of the world. In Seating we are the world leader in luxury and performance seating and we are extremely well positioned to differentiate our seats with unique designs and the highest level of craftsmanship at the lowest possible cost. In Electrical we have introduced 15 first to market innovations over the past 36 months and as I mentioned in the previous slide we are extremely well-positioned to capitalize on the megatrend of vehicle connectivity. Slide 18 shows that both our business segments are outpacing the industry growth. Our market share gains reflect the investments we've made to improve our cost structure and to strengthen our product capabilities. Since 2010 Lear sales have grown at a compounded annual rate of 9% which is more than double the industry production growth rate. As the chart on Slide 19 shows, our investments have positioned Lear to capitalize on industry trends and deliver improving financial performance. Since 2010 we have doubled our core operating earnings and increased our margins from 5.2% to 7.1%. We will continue to provide our customers with the best cost, quality and innovation and we expect to further increase our market share and continue to provide superior shareholder returns. In summary, we continued our positive momentum in the third quarter achieving sales growth, record earnings and margin improvement in both segments. Our industry-leading component capabilities and seating allow us to differentiate our seats with unique designs and the highest level of quality and craftsmanship at the lowest possible cost. In Electrical, we are well-positioned to capitalize on the transfer increased content and connectivity. Our recent acquisition of the technology from Autonet Mobile complements our existing capability to distribute power and manage signals utilizing wireless and cellular networks. Given our strong competitive position and unique capabilities in both our product segments we are confident our business will continue to performance well. Based on our strong year-to-date performance we are increasing our full year outlook. And with that, we'll be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Itay Michaeli with Citi. Your line is open.
Itay Michaeli: Great, thanks. Good morning, everyone, and congrats.
Matt Simoncini: Thanks Itay.
Itay Michaeli: Probably maybe start with the seat margin in the quarter, we usually don’t see expansion from Q2 to Q3 and of course you delivered that in the quarter. Can you maybe talk a little bit about the sequential drivers in the seat margin this quarter and may be talk to the sustainability of this over the next few quarters?
Matt Simoncini: Well it was a good quarter, I think that we're taking care of our issues and operating issues, but still having some headwinds in South America, but we're able to overcome it. Eagle Ottawa is performing well and that's turning out to be an outstanding acquisition for us. Operationally we're improving in some of the hotspots like North American structures business, but overall just a good clean hard working quarter and I think the margins are sustainable.
Itay Michaeli: Great, and maybe just another area of strength in the quarter, organic topline growth in a tougher macro, can you talk about the drivers there? I mean how much of it is coming from your backlog or your segment mix, content mix and is there any region that might be contributing more than another or is it pretty broad based?
Matt Simoncini: It is a pretty broad based, I mean the beauty of the way our business has become diversified both from a geography basis, but also from the type of car lines that we're on we're pretty well diverse and so while certain markets may slow or have problems, be it Russia or South America, other markets then perform. And for that, I think is what you are seeing, the backlog was strong. It was a good quarter for backlog. We had about $200 million of backlog between the two business segments. So I just think it is all indicative of the diversity of the business and also our market share gains, Itay.
Itay Michaeli: Great, and maybe just on that point lastly, I'd just like to go back to Slide 17 and you mentioned the backlog, I mean how is booking activity in the last several months given the acceleration in the connectivity megatrend, some of your intellectual property, recent deals, and just the overall environment?
Matt Simoncini: I think that trend is upside in the future. Our backlog bookings have been very good. We would expect to continue to penetrate the market when we announced a backlog in January; I think you'll see that, the evidence of that. But as far as the megatrend that’s more down the road as car companies are working through how they want to attack. It is important that you have the capabilities to not only do the traditional electrical architecture, but also be able to manage data as it is becoming as much as anything now, moving data as much as moving electrical power through the vehicle and I think you'll see that more in the future than right now.
Itay Michaeli: Terrific, thanks so much and congrats again.
Matt Simoncini: You are welcome.
Operator: Your next question comes from the line of John Murphy. Your line is open.
John Murphy: Good morning guys.
Matt Simoncini: Hey Murphy.
John Murphy: Just a first question on China because it seems like you operated very well around what was a tough market, down 6% there, just curious if you can kind of give us some idea of your business mix over there maybe by tier 2 plus cities versus tier 1 cities, domestic versus international customers? And then maybe some segmentation, because obviously crossovers and SUVs are pretty strong there and sedans are fairly weak, if you could give us maybe some broad strokes on those mixes?
Matt Simoncini: Yes, we really don’t break it down by city, broad city or not John, so that will be a new cut for us, but what I can tell you is our business there is very diversified in that it reflects the market overall. Right now when you look at it, it is roughly I would say 70:30 domestic brand versus partner brands or JV brands actually 70% being the foreign automakers joint venture brands, 30% being the domestic automakers, which is pretty consistent with the market overall and our shift, our balance of business there is actually also very consistent, you know entry level, A, B platform, C platforms crossover vehicles. So the mix is pretty good. Now growth is slowing in that market, but you are putting it on a pretty base and I think IHS is calling, Jeff, what about a million units of volume a year over the next five years going into China alone? Yeah. And so while it slowed up in the quarter we were able to withstand it and with our kind of diversification overall. As far as our segment our sales there are roughly $3.7 billion when you include consolidated and not consolidated, it is about 2.1 consolidated versus nonconsolidated. We're bigger in Seating. It is about a $1.5 billion in consolidated sales in Seating. In electrical just under $600 million and both business segments are doing well. I think that market is incredibly important. I think the initial indication is that the stimulations with the adjustment on the taxes on the entry level vehicles is working and so we’ll see, but in the meanwhile even if the growth slows to a couple of percentage points it’s still on a pretty big base and we take that type of growth rate in any market.
John Murphy: And Matt, directionally the seating content on crossover and SUV over there versus sedan, is that similar to what we would see in the U.S. or the rest of the world, I mean or there should be a big content differential I would imagine?
Matt Simoncini: Yes, there is, John. I would say on the foreign brands it is exactly the same. So when you have the, whether it’s the, BMWs or the Audis or the Volkswagens, you will see very similar to Europe if not identical. And the domestic brands, there is a really not a whole lot of differentiation between sedan and crossover. They are typically slightly lower contented than their foreign competitors if you will. But we are seeing a trend where more and more features are being added to the domestic brands as they try to compete with the joint venture brands and consumers are demanding more content. So the content growth in those products are increasing, but not a whole lot of difference quite frankly.
John Murphy: And then second question, I mean the messaging that we are getting from automakers is that the raw material exposure is moving sort of a little bit away from them and a little bit more towards the suppliers that's sort of generally sort of the messaging and it just sounds like it might be on the margin. But just curious what you are seeing there and also how much benefit you are getting from what's been a pretty big decline in copper in the Electrical division.
Matt Simoncini: Before I turn it over to Jeff for the actual heavy lifting on that question, I don’t really see a change John in the way that the car companies are handling commodity cost adjustments up or down. It factors into your annual negotiations and productivity and pricing, whether the commodity moves up or it moves down and as we have seen in the last year and a half. In certain cases there are formal indexing agreements like we have on the copper that are part of our harnesses, in other cases it is just in annual negotiation. Jeff, regarding the copper can you take John through the exposure?
Jeff Vanneste: Yes, I think with respect to the agreements on copper specifically, about 85% of our copper buy is covered by some type of agreement, the cover agreement with the customer. And then with respect to the overall commodities, I think they have been consistent over the last several quarters in a positive way and that the commodity prices have been generally down year-over-year. So we have gotten a tailwind on almost every one of our major commodities across the board over the last several quarters.
John Murphy: Okay, and then just lastly, I mean given that there is, I mean the world is not falling apart, but there are some people that think it might. I mean if we think about the minimum liquidity that you think you need to keep on the balance sheet as far as cash and available borrowings, what is that number if you could remind us as that? And has anything changed in your view that would make you sort of more or less confident in how much of a buffer you need to keep?
Matt Simoncini: Let me start with the latter part before I turn over to Jeff on how we're managing our capital structure. No, the answer is no. There is nothing that we see that would change our view on what we need. We don’t see any real storm clouds on the horizon. I think we’re well positioned with our balance sheet strength to take advantage of any market opportunity and also be able to while withstand any short term market disruptions, so we really don’t see any changes and the need to change our capital structure. Jeff?
Jeff Vanneste: Yes, we've defined numerically it’s not exact, we’d like to have approximately a $1.5 billion of liquidity, part of that’s associated with the working capital peaks and troughs the cash that might be in joint ventures that’s not available for daily use in countries that we can’t easily access, and then a buffer to take advantage of market opportunities, so all in that’s roughly a $1.5 billion in cash. We also want to make sure that we maintain investment grade credit metrics which for us means gross leverage at 1.5 times. Given where we’re at with current gross leverage, we think we have about $500 million to $600 million of additional debt capacity to take and still fall within that 1.5 times gross leverage.
John Murphy: That’s incredibly helpful. Thanks a lot guys and great quarter.
Matt Simoncini: Thank you, John.
Operator: Your next question comes from the line of Ryan Brinkman. Your line is open.
Ryan Brinkman: Hey, thanks for taking my question. I thought to maybe ask on Autonet Mobile, I'm trying to understand the implications if any a fact that whereas your Elesco business has historically been focused on wires and wired connections and now you are expanding into wireless capabilities. So two things, first I think there is always going to be a need obviously to distribute power within the car by wires, but presumably some of the signal distribution could also be done wirelessly maybe to save weight, is there any thinking in buying Autonet that this helps to look to the future and prevent potential disintermediation of wired signal distribution within the car? I don’t think so because Autonet seems to be focused on communicating between the car and outside networks not within the car, but I'd just thought to ask in case you want to lay on? And then secondly maybe more interestingly does the expansion into new area within electrical mean that you could expand into other new areas or maybe relative to I don’t know safety electronics, vehicle to vehicle communications or anything along those lines?
Matt Simoncini: Yes let me take a part of that answer and then I am going to turn it over to Frank Orsini who is in the room with us today. He is the President of the Electrical Division. I would tell you that one thing Ryan, we have been in wireless. We have been a leader in wireless and for us it is really not so much expanding our product line offering as to utilize the product line that we have to take advantage of the trend, the gateways which were one of the leaders in the industry is the main hub if you will that translates all the data to the different domains. Frank, regarding Ryan’s question regarding the use of wireless and how all ties together and whether or not you will see the wireless transmission of signals what's your thoughts?
Frank Orsini: Yes Ryan, I think it’s a great question, what we anticipate happening in the future is, you’re always going to be connected through power and signal on the car. The electrical distribution business that we have will continue to go forward very strong. On the wireless side itself as Matt mentioned, we have industry leading capabilities in wireless in production today. So if you take our hardware capabilities and gateway technology that was referenced earlier on the call, and you coupled out with enhanced software capabilities that we’re bringing on board with Autonet, we believe that it really gives us a strong platform for connectivity. The Autonet acquisition brought cellular communication connectivity, Wi-Fi, GPS positioning. So it really sets us up with this great platform of hardware and software for the future. But wire will continue to be in the vehicle, we see that as a strong segment going forward and the Autonet acquisition really enhances our existing capabilities in wireless and electronics and we’re very optimistic about what that looks like in the future.
Ryan Brinkman: Okay. It sounds like an interesting area, thanks a lot.
Operator: Your next question comes from the line of Chris McNally. Your line is open.
Unidentified Analyst: Thank you. My question really goes back to Seating and is really a higher level question regards to margins. See you've gained about 150 basis points since 2013 it has been extremely impressive and my question really is how far can we push the margins with the outlook in Europe, U.S. and China looking up for 2016? Can we still see incremental margins in the mid-teens going forward if volume and share gains continue? Thanks.
Matt Simoncini: Well, our view on it Chris is that really we look at our margins as an outcome or a function of the investment and everything we do is return on investment and in seating we start returning an excess of our cost of capital in current configuration when we do crossover that 5% operating margin line if you will based on the current capital intensity and that would change if obviously the business changed If it is built to bend it is lower, certain components are higher if you will. We have our President of Seating here how fights this battle every single day in the marketplace, Ray Scott. Ray what are your thoughts on Chris’s question regarding margins?
Ray Scott: Let me answer it this way, well I don’t think we’ve ever been in a better position than where we’re at today. We’ve really done a great job of differentiating ourselves from our competitors and if you look at what we've built when our experience and our knowledge now with the acquisition of Eagle Ottawa, Guildford Textile and our number one position with [indiscernible] we stand alone. And so where we’re at is being able to differentiate ourselves to our customers allowing them to really expand the envelope of design where they can differentiate their products and we can drive value not only to Lear, but to our customers, but also in I think just as importantly to our shareholders. So we’re in a great position. We continue to stay focused on and we’re continuing to focus on the margin, but I think just as importantly really put ourselves in a position where we are different from anyone of our competitors out there which will help our customers and help our shareholders.
Unidentified Analyst: That’s great, but I guess just to confirm as volumes increase it is not like we have to add incremental capacity and so the businesses should continue to operate as it is going forward, if volumes remain strong, meaning you talked about being in a good position, there is not much that would change if we continue to see strong volumes?
Ray Scott: No.
Matt Simoncini: We have been adding capacity as we have been growing the sales there Chris. So our capital spending profile and utilization would be consistent. I don’t really see, Ray do you see anything changing?
Ray Scott: No I don’t see anything changing.
Matt Simoncini: Does that answer your question, Chris?
Unidentified Analyst: Yes, great results guys. Thanks so much.
Matt Simoncini: Thank you.
Ray Scott: Thank you.
Operator: Your next question comes from the line of Dan Galves. Your line is open.
Dan Galves: Hey good morning guys. Great job in the quarter.
Matt Simoncini: Okay. Thank you.
Dan Galves: Can you remind us of your content opportunities if plug in hybrid or full AV adoption rates or production increases in the future, can you talk about kind of what the typical electrical content is in a vehicle like that versus the traditional vehicle and are you seeing any kind of uptick in the bidding activity over the last year or two?
Matt Simoncini: Yes, I think this is another great question for Frank Orsini our President of our Electrical Division.
Frank Orsini: Yes, so I would tell you that if you want to think of it in terms of a traditional architecture versus a hybrid or a high power architecture, there are two incremental steps, if you go to a hybrid system you definitely see an uptick in terms of sales and content for vehicle. But the real content is driven by fully electric vehicle where you could actually see the architecture doubling in terms of size. So it varies by the care and it varies by the particular application because hybrid you can get there with certain technologies, but if you go full electric with battery charging and cord sets and things of that nature you could be looking at doubling the standard cost of architecture.
Dan Galves: Okay. Got it and the bidding activity are you seeing any change in over the last year or so in terms of automakers getting more serious about full electrics?
Frank Orsini: It is consistent, we are working with all the automakers all over the world. There isn’t a car company that we don’t have an active project with. So everyone is still considering it as a potential market in the future and something we’re still actively involved with.
Dan Galves: Okay. Got it and then on the cash deployment, just kind of summarizing your comments, like your $500 million to $600 million below your leverage target and it looks like you are maybe $600 million or $700 million above your liquidity requirements, when do you expect to start deploying some of that excess capital above and beyond free cash flow which is what you’ve been returning recently?
Matt Simoncini: Yes, we have been returning it and we will continue to return it. For us first and foremost we look to invest in the business. At any given time we have anywhere from 10 to 15 projects that we are looking at or are potential acquisition targets that we’re discussing investments in. And ultimately we would like to invest in the business because we believe that is the best return and the same [indiscernible] year-to-date I think we've returned a significant portion of our free cash flow to the shareholders through a combination of share repurchase and dividend and we expect that to continue. So for us is having that balance strategy of having a strong balance sheet and investment grade credit metrics looking for investments like Eagle Ottawa which really differentiates us or Autonet and then ultimately also balancing that with shareholder returns and that combination has created I think the really nice balance and also driven the stock price as well.
Dan Galves: Okay, thanks a lot guys, I appreciate it.
Operator: Your next question comes from the line of Rod Lache. Your line is open.
Rod Lache: Good morning everybody.
Matt Simoncini: Good morning.
Rod Lache: A couple data points would be helpful just to understand some of the components of the earnings bridge, can you actually confirm the magnitude of the raw material tailwind and also the effect of FX on EBIT in the segments? On the revenue side I’m assuming that FX is like a $270 million niche negative on Seating and may be $100 million on Electrical, but may be you can just talk a bit on the EBIT effect of that.
Matt Simoncini: I think you are pretty close on the sales dollar impact of foreign exchange. The margin profile in Seating given the fact that the main currency impact is Euro based and the margin profile of our European business is generally lower than the margin profile of the Seating business. As a whole the impact of that is going to be a bit of a tailwind on the overall Seating margin as a result of that, probably 20 basis points or so associated with this Seating margin improvement would be due to just the impact of that.
Rod Lache: Okay.
Jeff Vanneste: The Volkswagen Rod, are really profitable in Europe, I can differentiate Lear in many cases from other suppliers. The profile of Electrical is actually more profitable in our European segment overall is more profitable, Lear Corporation's total operating margin. So, it's the difference, a little bit different profile between Seating and Electrical, but overall it obviously has a negative impact on OI.
Rod Lache: And what was the raw material benefit?
Matt Simoncini: Probably pretty equal to 10, 20 basis points on raw material in the quarter on a year-over-year basis.
Rod Lache: In mostly in the Seating business since there is…
Matt Simoncini: Yes, that’s the number for it. Yes.
Rod Lache: Okay, okay and any color on how the acquisition of Eagle affected EBIT in the quarter?
Matt Simoncini: It was consistent with what we said running a little bit harder on the integration savings. It’s been a great acquisition and they are couple times to the bottom line or to the margin profile. It’s been a great asset Rod.
Rod Lache: And then just kind of higher level, just your performance and commentary is making people feel pretty optimistic about the upside to margins versus historical expectations of may be 7% that is Seating and mid 13s in Electrical, just given that you have operating leverage and presumably some opportunity for South America to improve and Canada restructuring and some other things, is that, is that sort of what you want people to sort of leave with the coming out of this call and any color lastly on the acquisition pipeline?
Matt Simoncini: Yes, we’re comfortable with the margin profile of the business as it stands today Rod. In any given quarter, there is thousands and thousands of input that could have an impact on attempt this way and attempt that way in any given time things are moving up and down. But overall the business is performing Lear Corporation as we would expect both of these segments are pretty much where we would expect them to perform while return that could be some bit peer in a bot there, but overall they are where they need to be. As far as the acquisition targets, looking really the acquisition focus has changed somewhat. We think Seating is pretty well set as far as its component capabilities. It is very uniquely positioned with lot of fabric coupled with our selling capabilities and volume structures I think puts us in a really position to compete their on a logical [indiscernible] look for intellectual properties. So may be things that don’t necessarily come in with a lot of business, but things that could really help us as we look to penetrate and leverage our existing capabilities. So that’s where the primary focus of it has been.
Rod Lache: Great, thank you.
Matt Simoncini: You’re welcome.
Operator: Your next question comes from the line of Colin Langan. Your line is open.
Colin Langan: Great, thanks for taking my questions. Congrats on a good quarter.
Matt Simoncini: Thanks.
Colin Langan: Follow up on the commodity question, I mean outside of copper, I mean what is the hedging that you have or the pass-through protection that you have on other commodities?
Matt Simoncini: I think two main ones, one would be on the steel side necessarily a pass-through, but of all the steel that we buy about 50% of that buy is directed by our suppliers, but 35% of the overall steel buy is purchased in some type of fabricated component from a supply base and then the remaining 15% is a direct coiled steel buy by us and that would be the part that would be subject to fluctuations in pricing. And then the other one would be on the, the leather buy with respect to, we’ve bought Eagle Ottawa which significantly increased that leather by about 50% of that buy is subject to some indexing agreement with the customer and about half of that is subject to commercial discussions, coincident with discussions on productivity, et cetera.
Colin Langan: Okay, got it, alright and cash flow has been a extremely good any color on what your cash tax rate is today and given your NOL how long you could still benefit from both cash taxes [indiscernible].
Matt Simoncini: Our cash tax rate is approximately 20%. I think given our NOLs and the life span of that NOLs I would anticipate, I would not anticipate a major change in that in the near future.
Colin Langan: Okay, great and then just one last question, any color on the split and assembly and component in the Seating business? I mean just any color there, because I understand someplace while lower margins are a little bit higher, where do they stand today and…?
Matt Simoncini: Well again we do everything based on return on investment. For us the just in time business is great business even if it is just built to print because the capital utilization is lower. For us just in time business on the assembly side is really good business when it is in the mid single digit type margin profile. The flip side is certain components we need to be in a high single digit like home and structures. Now all the components are providing returns in excess of their cost to capital, perhaps other than may be North American Structure business which has been challenged with some pricing and restructuring that we need to get done. As far as split Jeff, do you have the split that we've disclosed that.
Jeff Vanneste: Yes, of the on the Seat side if you look at it in the context of gross sales or total sales because a lot of the sales in your company, but if you look at it in the context of the gross basis then just business is about two thirds of the business, net offs about 10%, trend given the acquisition of Eagle Ottawa was about 20 and then the remainder will be on the form side.
Colin Langan: Okay, alright. Thank you very much.
Matt Simoncini: You are welcome.
Operator: Your next question comes from the line of Brian Johnson. Your line is open.
Brian Johnson: Yes, good morning. I’ve got two questions, first you have been talking a lot about the growth opportunities in Electrical, but if we actually look at the quarter Seating outpaced Electrical in terms of revenue growth. Is that just sort of temporary or acquisition related where they are just kind of program things or you kind of continuing to evolve your focus towards higher margin business that actually might mean was slow revenue growth?
Matt Simoncini: Yes.
Brian Johnson: And so, how should we then think about it as we kind of going into next year sort of the growth in the Electrical versus the margin trade off.
Matt Simoncini: Also talk next year Brian.
Brian Johnson: Okay and in terms of margins given what you said on incremental margins, is there any, where do you see an upper bound of margins if any?
Matt Simoncini: We’re pretty happy with the margin profile of the business currently.
Brian Johnson: Okay and you’ve talked in the past about, you’re happy with some Seating or Electrical business as long as it’s higher than your cost of capitals for that segment, which seemed to imply kind of a limit on margins or that you might be growing revenue good ROIC but lower margin, we didn’t see any of that this quarter, is that something you’ve kind of moved away from or?
Matt Simoncini: No, we’re consistent with our approach to the market.
Brian Johnson: Okay. Thanks.
Operator: Your next question comes from the line of Joe Spak. Your line is open.
Joseph Spak: Thanks guys. Congrats on the quarter. Just one big picture one and then maybe one housekeeping, in light of some of the stuff coming out of the Volkswagen and then asking for some supplier savings, have any of those conversations taken plus thus far and if so sort of what is the tone of those conversations?
Matt Simoncini: No we really haven’t, we’re not involved in any way with the direct impact on those components. We’re not, I don’t think we have a whole lot of any exposure to the diesels especially in North America. We have not had any let’s say conversations that are not normal course. As far as productivity, we’re always in discussion with our customers on ways that we can help them reach their targets from a cost standpoint, but there has been nothing specifically from Volkswagen related to their current issues with the diesels?
Joseph Spak: Okay. Good and then just again sort of housekeeping and the guidance depreciation and amortization looks like you’re saying 365 for the year, but I think you’ve only done if I may ask 257 year-to-date, so it is a pretty big step up in the fourth quarter, is there something going on there or?
Matt Simoncini: May be a bit of conservatism, we do have to step up in capital spending in the fourth spending, but despite cash conservative.
Joseph Spak: Okay. Thanks a lot guys. Congrats.
Operator: Your next question comes from the line of David Tamberrino. Your line is open.
Dave Tamberrino: Yes, hey thanks. Maybe just one real quick on pricing in China, there has been some top line headwinds for the OEMs there. Have you seen any of that pressure really flowing through to you or within your negotiations there?
Matt Simoncini: Net net, anything that is in normal course it has all been the same. I mean our responsibility as a tier 1 with like four integration capabilities is to give solutions to our customers. Now we are always in discussions with how we can take cost out improve efficiencies in the supply chain and in the designs for that matter. But I don’t see anything that nothing has come that is unusual as related to the volume changes.
Dave Tamberrino: Thank you. That is it from us.
Matt Simoncini: You’re welcome.
Operator: Our final question comes from the line of [Parish James]. Your line is open.
Unidentified Analyst: Good morning everyone. I just wanted to followup quickly on the discussion on EVs and hybrids, a couple of questions here. First what is management’s view on long-term EV penetration assuming that comes up a lot in management and Board meetings? And then second the Autonet acquisition is there any reason to think that deck is even more important in an EV car than in an internal combustion or a hybrid car? Thanks.
Matt Simoncini: Well I know, we’re assuming a growth rate of around 3% to 5% which is I think consistent or maybe a tad lower than what you will hear from a lot of the firms that forecast. We’re seeing probably more opportunity for these vehicles coming out of China. While all car companies are working on active programs and are pushing this technologies a way to meet their regulatory requirements on cap pay and CO2 emissions. As far as the complexity of a vehicle, I think traditional powertrain vehicles are becoming incredibly complex as we’re looking for more signal management to help improve their performance as it relates to CO2 emissions and all of them are looking for ways to update their operating systems over the era. So I really think that both incredibly complicated.
Unidentified Analyst: Got it, thank you.
Matt Simoncini: You’re welcome. Well with that, that wraps up the Q&A portion of the call and I think who remains our largely – our vote for us and I want to thank all of you at Lear Corporation, through your extreme hard work and dedication results like this do not happen without hard work and team work and I want to thank all of you for another excellent quarter. Thank you very much.